Operator: Good afternoon. And welcome to Diodes Incorporated Fourth Quarter and Fiscal 2013 Financial Results Conference Call. At this time all participants are in a listen-only mode. At the conclusion of today’s conference call instructions will be given for the question-and-answer session. (Operator Instructions) As a reminder, this conference call is being recorded today, Tuesday, February 11, 2014. I would now like to turn the call over to Leanne Sievers of the Shelton Group Investor Relations. Leanne, please go ahead.
Leanne Sievers: Good afternoon. And welcome to Diodes fourth quarter and fiscal 2013 financial results conference call. I’m Leanne Sievers, Executive Vice President of Shelton Group, Diodes Investor Relations’ firm. With us today are Diodes’ President and CEO, Dr. Keh-Shew Lu; Chief Financial Officer, Rick White; Senior Vice President of Sales and Marketing, Mark King; and Director of Investor Relations, Laura Mehrl. Before I turn the call over to Dr. Lu, I’d like to remind our listeners that management’s prepared remarks contain forward-looking statements, which are subject to risks and uncertainties, and management may make additional forward-looking statements in response to your questions. Therefore, the company claims the protection of the Safe Harbor for forward-looking statements that is contained in the Private Securities Litigation Reform Act of 1995. Actual results may differ from those discussed today and therefore we refer you to a more detailed discussion of the risks and uncertainties in the company’s filings with the Securities and Exchange Commission. In addition, any projections as to the company’s future performance represent management’s estimate as of today, February 11, 2014. Diodes assumes no obligation to update these projections in the future, as market conditions may or may not change. Additionally, the company’s press release and management statements during this conference call will include discussions of certain measures and financial information in GAAP and non-GAAP terms. Included in the company’s press release are definitions and reconciliations of GAAP to non-GAAP items, which provide additional details. Also throughout the company’s press release and management’s statements during this conference call, we refer to net income attributable to common stockholders as GAAP net income. For those of you unable to listen to the entire call at this time a recording will be available via webcast for 60 days in the Investor Relations section of Diodes’ website at www.diodes.com. And now, I’ll turn the call over to Diodes’ President and CEO, Dr. Keh-Shew Lu. Dr. Lu, please go ahead.
Dr. Keh-Shew Lu: Thank you, Leanne. Welcome everyone and thank you for joining us today. I'm pleased to report another solid year of growth and the profitability for Diodes. We ended the year achieving 31% revenue growth, a 390 basis points improvement in non-GAAP gross margins and a 92% increase in non-GAAP net income, which represents our 23rd consecutive year of profitability. During the year, we successfully closed on our acquisition of BCD Semiconductor in March, which was a strong contributor to our revenue growth and market share gains, as a result of our expanded analog product portfolio. The integration has been progressing well and we still have additional cost savings to realize in the coming year, as well as increased cross-selling opportunities as design wins ramp throughout the year. BCD, including new Fab 2, negatively impacted our gross margin by approximately 120 basis points in 2013. Diodes’ margin without BCD was 30%. Moving forward we expect to capture further synergies overtime as we improve loading of the manufacturing facilities and transfer more products internally to maximize operational and cost efficiencies. For the fourth quarter, revenue reflected greater than normal seasonality due to weakness in the PC market, as well as cautious inventory management at distributors. Despite the prolonged weakness in the market, we have been able to gain market share across our business due to our past design win momentum and the new product initiatives. We have a solid pipeline of designs and expanded customer relationships across all regions and product lines. Also during the quarter, we improved our balance sheet by reducing our long-term debt by almost $20 million and inventory by $14 million. When combined with our reduced capital expenditure spending of 5% of the revenue for the quarter, we generated approximately $16 million of free cash flow. Looking forward, we remain focused on achieving our goal of $1 billion in annual revenue with model profitability and the BCD acquisition has brought us one step closer toward achieving this goal. With that, I will now turn the call over to Rick to discuss our fourth quarter and fiscal 2013 financial results, as well as the first quarter 2014 guidance in more detail.
Rick White: Thanks, Dr. Lu, and good afternoon, everyone. Revenue for the full year 2013 increased 30.5% to $826.8 million from $633.8 million in 2012, due mainly to the acquisition of BCD Semiconductor. For the fourth quarter of 2013, revenue was $211 million, a decrease of 6% from the $224.5 million in the third quarter 2013, an increase of 29.2% from the $163.3 million in the fourth quarter of 2012. The sequential decline in revenue was primarily due to greater than normal seasonality as a result of continued weakness in the PC market, as well as cautious inventory management and distributors. Gross profit for the year 2013 was $237.8 million or 28.8% of revenue compared to $161.6 million or 25.5% of revenue in the prior year. Non-GAAP gross margin for 2013 was 29.4%, which excludes BCD purchase price adjustments. For the fourth quarter of 2013, gross profit was $60.8 million or 28.8% of revenue, compared to the third quarter of 2013 of $69.6 million or 31% of revenue and fourth quarter 2012 of $43.2 million or 26.5% of revenue. Gross profit margin declined sequentially due to lower wafer fab loadings as the company reduced wafer inventory to align with expectations for the fourth and first quarters. GAAP operating expenses for the fourth quarter were $52.8 million or 25% of revenue, compared to $49.3 million or 22% of revenue last quarter and $39.7 million or 24.3% of revenue in the fourth quarter of 2012. Operating expenses in the fourth quarter included a $5.3 million non-cash goodwill impairment charge related to the acquisition of Eris and $900,000 of retention costs related to the BCD acquisition. Excluding these charges, non-GAAP adjusted operating expenses were $44.6 million or 21.1% of revenue. Looking specifically at selling, general and administrative expenses, SG&A was approximately $32.8 million for the fourth quarter or 15.6% of revenue, compared to last quarter of $33.8 million or 15.1% of revenue and $28.7 million or 17.6% of revenue in the fourth quarter of 2012. Investment in research and development for the fourth quarter was approximately $12.5 million or 5.9% of revenue, compared to $13.6 million or 6.1% of revenue last quarter and $9.3 million or 5.7% of revenue in the fourth quarter of 2012. SG&A plus R&D combined equal 21.5% of revenue, which was slightly up in the last quarter but down 170 basis points from fourth quarter 2012 at 23.2%. Total other expense amounted to $1.7 million for the fourth quarter. We had approximately $1.4 million of interest expense and approximately $300,000 of interest income. Income before income taxes and noncontrolling interest in the fourth quarter 2013, amounted to $6.3 million compared to the income of $17.5 million in the third quarter of 2013 and $6.6 million in the fourth quarter of 2012. Turning to income taxes, our effective income tax rate for fourth quarter and full year 2013 was approximately 45% and 37.5%, respectively. Our full year effective tax rate was impacted by non-taxable goodwill impairment charges in fourth quarter and the discrete China tax audit adjustment of $5.4 million as discussed in the first quarter of 2013 results. Excluding these two items, the effective tax rate was 24.4% and 20.6%, respectively. GAAP net income for the full year of 2013 was $26.5 million, or $0.56 per diluted share, compared to $24.2 million or $0.51 per diluted share last year. 2013 represented our 23rd consecutive year of profitability. The share count used to compute GAAP diluted EPS for 2013 was 47.7 million shares. Non-GAAP adjusted net income for the year was $50.1 million, or $1.05 per diluted share, which excluded, net of tax $7.9 million of items related to the BCD acquisition, $1.1 million of restructuring costs, a $2.7 million net of noncontrolling interest non-cash goodwill impairment charge related to the acquisition of Eris, $6.4 million of non-cash acquisition related intangible asset amortization cost and $5.4 million due to China tax audit adjustment compared to non-GAAP adjusted net income of $26.1 million or $0.56 per diluted share in 2012. For the fourth quarter, GAAP net income was $6.2 million, or $0.13 per diluted share, compared to the third quarter of 2013 GAAP net income of $13.6 million or $0.28 per diluted share and fourth quarter 2012 GAAP net income of $4.1 million or $0.09 per diluted share. The share count used to compute GAAP diluted EPS for the fourth quarter of 2013 was 47.9 million shares. Fourth quarter non-GAAP adjusted net income was $11.3 million or $0.24 per diluted share, which excluded, net of tax $800,000 of retention costs related to the BCD acquisition and $2.7 million net of noncontrolling interest non-cash goodwill impairment charge related to the acquisition of Eris and a $1.6 million of non-cash acquisition related intangible asset amortization costs. We’ve included in our earnings release, a reconciliation of GAAP net income to non-GAAP adjusted net income which provides additional details. Included in the fourth quarter and full year 2013 GAAP and non-GAAP adjusted net income was approximately $2.3 million and $8.8 million respectively, net of tax non-cash share-based compensation expense. Excluding share-based compensation expense, both GAAP and non-GAAP adjusted diluted EPS would have increased by an additional $0.05 per diluted share in the fourth quarter and $0.18 for the full year. Cash flow generated from operations for 2013 was $109.9 million and $32.1 million for the fourth quarter. Net cash flow for the year was a positive $39.5 million and a negative $7.6 million in the fourth quarter, primarily due to the pay down of $20 million on our long-term debt. Free cash flow for 2013 was $62.8 million, which included approximately $47.1 million of capital expenditures. Free cash flow was $15.8 million for the fourth quarter, which included $16.3 million of capital expenditures and a reduction of inventory by approximately $13.9 million. Turning to the balance sheet, at the end of the fourth quarter, we had approximately $197 million in cash and cash equivalents and $23 million in short-term cash investments. Working capital was approximately $493 million. At the end of the fourth quarter, inventory decreased by $14 million to approximately $180 million compared to approximately $194 million at the end of third quarter 2013. Inventory days were 115 in the fourth quarter compared to 113 days last quarter. Inventory in the quarter reflects $8.4 million decrease in raw materials, a $3.6 million decrease in work in process and a $1.9 million decrease in finished goods. At the end of the fourth quarter, accounts receivables were approximately $192 million and AR days were 84 compared to 77 last quarter. Capital expenditures on accrual basis for 2013 totaled $44.3 million or 5.4% of revenue. Fourth quarter capital expenditures were $10.9 million or 5.2% of revenue, which is at the low end of our reduced CapEx spending target range of 5% to 8% of revenue. Depreciation and amortization expense for the fourth quarter was $18.7 million. Now turning to our outlook, for the first quarter of 2014, we expect revenue to range between $205 million and $213 million or plus 1% to minus 3% sequentially. We expect gross margin to be flat with fourth quarter at 28.8% plus or minus 2%. Operating expenses are expected to be flat with the fourth quarter, excluding the goodwill write-off at approximately 22.5% of revenue plus or minus 1%. We expect our income tax rate to range between 19% and 25%, and shares used to calculate EPS for the first quarter are anticipated to be approximately $48.2 million. With that said, I will now turn the call over to Mark King.
Mark King: Thank you, Rick and good afternoon. Revenue in the quarter was down 6% sequentially, primarily due to a global reduction in Distributor POP, which was down 7.3% with North America and Europe being impacted at higher percentage. Distributors in all regions focused on inventory management as inventory declined another 6.5% sequentially. OEM sales were down 1% and distributor POS was up 1.7%. Global channel inventory remained in line and under three months. In terms of our end markets, consumer represented 34% of revenue, communications 23%, computing 22%, industrial 18% and automotive 3%. All segments were down with the industrial segment being down, the greatest percentage due to declines in North America and Europe, followed by computing. The consumer and communication segments were the strongest performance in the quarter relative to the third quarter. Design activity continued to be strong across all regions, product lines and equipments. Cross-selling opportunities with BCD are increasing, contributing to a solid pipeline of designs and expanded customer engagements. In particular, we were seeing a significant increase in global activity on LED drivers revolver replacement with the new BCD products. We also achieved record quarter on our logic products, growing more than 50% sequentially due to key wins in smartphones. It was also a record quarter for our SBR products on the broad applications and equipment and we also had a very strong quarter on load switches and DBS products. Turning to global sales, Asia represented 83% of revenue, North America 9% and Europe 8%. In terms of new products, Diodes further expanded its broad-based product offering for a wide range of markets and applications. Discreet product introductions totaled 98 new products across 21 product families. We continue to target high-volume consumer portable devices including smartphones, tablets, and energy-efficient power adapters, while also offering products targeted at industrial markets for applications such as LED lighting, solar, touchscreens and power supply. We also increased our focus on the high-growth automotive electronics market by launching a broader range of MOSFETs and rectifiers designed to meet the requirements, the ruggedness, reliability, quality and performance. During the quarter, we launched new products from our industry-leading French SBR platform with expanded devices, which enabled quick charger designers to meet efficiency and operating temperature requirements without the need for expensive redesigns. Conventional SBR devices will also develop for thermally demanding small form factor portable smartphone adapter applications for leading manufacturers. In addition, Diode’s launched a miniature rigid device for wireless charging applications and further enhanced the reach of our technology by launching automotive versions of our SBR rectifiers. Diode reached a milestone in the quarter with the launch of the first 60 volt MOSFET from its new state-of-the-art split gate process. This new platform reduces both on-resistant and gate charge by almost 50%. These split gate MOSFETs also provide further penetration to the charger, adapter and power supply applications. Also, during the quarter, we expanded our new performance TVS portfolio with the release of a wide range of products, including devices in ultra miniature chip scale packaging and DFN packages for the portable market. To further increase our content in the automotive markets, Diodes launched the first in a range of new protection devices designed specifically for automotive applications. These TVS products replace conventional automotive protection with significantly improved performance and small form factors designed specifically to meet automotive inspection and reliability requirements. The first product has already achieved a significant automotive design win for a major vehicle manufacturer. Turning to analog new product introductions, we release 78 new analog products across eight product families. New product highlights include the release of three new high-efficiency Class D audio amplifiers from a range of speaker applications from portable consumer electronics to high-power small enclosure speakers for computing and docking station. These devices offer high signal-to-noise ratio and differential inputs to help eliminate the noise and use a filter-less output architecture to provide high performance at a lower system cost. We also expanded our portfolio of AC to DC power devices with over 10 new offerings of primary side switches and controllers for applications such as power adapters for consumer products and home appliances as well as chargers and adapters for smartphones and tablets. The new products include a Green Mode PWM Controller that offers power saving operation and application such as set-top boxes and appliances, high-frequency switches for chargers and adapters and low-power primary side switches for cell phone chargers. In addition, we released a new high-performance LED driver for dimmable retrofit and lab applications. This device provides a wide range of dimmer compatibility and can achieve ultra-low dimming down to 1%. Other noteworthy product releases include a self protective resettable electronic fuse designed for applications such as disk drive, a fully featured single-chip reversible DC motor driver and a family of low dropout regulators for use in cell phones, smartphones and tablets. From a deisgn win perspective, we continue to see strong market acceptance for our AC to DC and LED driver product lines. We secured major LED wins across multiple retrofit applications and consumer product backlighting as well as AC to DC wins for mobile chargers and adapters including adapters for large consumer products like set-top boxes. Our LVLs were also very active with multiple design wins in flat-panel TV, desktop and notebook computing as well as a high-profile gaming platform that also included our USB power switches. Also during in the quarter, our audio amplifiers gained further traction than several TV platforms and we expanded our standard linear and standard logic business with market gains across several China base communication and consumer product applications. Our Hall sensor devices also continue to see solid acceptance in tablet applications driven by smart covers and tablet accessory market growth. In summary, we are pleased with our continued advances and market share gains across our business with the addition of the BCD product portfolio. We're expanding our content at existing customers and gaining multiple entry points with new customers. We have a growing pipeline of design wins and have gained significant momentum in applications such as LED lighting including retrofit and backlighting, portable consumer devices, chargers and adapters, as well as AC to DC power devices. We also continue to gain traction in smartphone, tablets and LED TVs which have been great market for Diodes products. We are confident that as global markets improve, our past design win momentum, new products and expanded customer relationships positions Diodes well for future success. With that, I will open the floor to questions.
Operator: (Operator Instructions) And it looks like our first phone question will come from the line of Steve Smigie with Raymond James. Please go ahead, your line is open.
Steve Smigie - Raymond James: Great, thank you. Dr. Lu, I just want to say congratulations on a pretty solid year there and some nice margin performance as we started this year. I was hoping you could talk about growth following up on this past year. Given the new products that you’ve been releasing design wins, would it be fair to say that you would anticipate 2014 to be another year we guys could likely outgrow the market?
Dr. Keh-Shew Lu: I would say Steve first thank you for you comment. Second, that’s our goal. We always set up our goal to grow 2X, especially for our competitors. And so that is our goal. And I think that is a trick to doing that.
Steve Smigie - Raymond James: Okay, great. Thanks. And then as we think about bringing in or filling up the capacity at BCD, plus utilization, how should we think about gross margin throughout the year, I know you got one quarter, but would it be fair to argue that it’s likely that given those factors we should see generally improving gross margin throughout the year?
Dr. Keh-Shew Lu: Well, yes, the answer is definitely yes. And it is expected we buy the BCD. We know they just start to ramp their Fab 2 in February last year. So when you have a new fab start from zero output and you went it up, you’re always going to have a gross margin, or TPM percent problem. And while we do advance in doing is try to move some of the Fab 1 loading to the Fab 2 and that diode can loading the Fab 1. And this process had been very smoothly executed and even we said in our speech we actually negative impact by the BCD. The majority is really coming from the fab loading, but this situation had been improved quite a bit and Fab 2 continue went it up and now we are not really able to transfer our load into Fab 1 yet due to the customer qualification. But I expect this year we will start to move that. At the same time the cross-selling by Diodes team to sell BCD product going through this mostly and if we are -- when we continue ramp and again the market share with the BCD production, obviously it will be have to build their Fab 1.
Steve Smigie - Raymond James: Great, thank you. And then just a couple end market and product questions. On the end market side, auto is a few percent of revenue now, but it sounds like there is some nice wins. Any chance auto could get to something 5% or more revenue this year? And then on the logic side, it sounds like some good success there, when is logic become 5% of revenue as well?
Rick White: I will take that one. On the automotive side, I don’t think we are going to be able to get to 5% this year, but we have a very detailed and long-term plan to grow our automotive business over the next 2 to 4 years significantly. So we put a team together to focus at automotive and drive that business area in specific product area. So we have a lot of emphasis in that area. So we think that that will be a great driver going forward. Regarding logic, I think we continue to make progress, we continue to design products, we have some of the newest and state-of-the-art products out there. I think it’s just a matter of time, it’s a very mature market, so mature markets take longer to make a big impact in, but I would say that we will be a major player in the logic market over the next few years. I think the progress will continue to add value and impact our revenue over time.
Steve Smigie - Raymond James: Great, thank you.
Operator: And it looks like our next phone question will come from the line of Gary Mobley with Benchmark. Please go ahead, your line is open.
Gary Mobley - Benchmark: Hey, guys, congrats on some good OpEx management in the fourth quarter. I am assuming that’s what helped drive much of the EPS upside. You were forecasting OpEx to be about 22.7% of revenue with the midpoint of revenue guide higher than what you hit. So it looks like you might have had operating expenses about 5% or so below your forecast but drove that negative variance?
Rick White: I don’t know about 5%, but we were down a little bit, but I just mainly control of expenses, travel and we haven’t replaced people that we don’t really need. So we’ve had a real tight control on operating expenses from a overhead and from a people’s standpoint, from overhead standpoint.
Gary Mobley - Benchmark: Okay. I know you have been disclosing BCD Semiconductor revenue in your SEC filings. Do we have to wait for the 10-K to come out to get the number for the fourth quarter or to make sure that was on the call?
Rick White: I think you need to wait until the 10-K comes out.
Gary Mobley - Benchmark: Okay. Well let me ask it this way, was it down like a month for the rest of the business?
Dr. Keh-Shew Lu: BCD, we do not really taken that carefully between Diodes and BCD, because we really want to do is for company, so when a computer sales guy and we are talking about design wins, we try to not separate BCD versus Diodes. And we encourage our people, especially cross-selling our U.S. to Europe the sales team tried to sale BCD products, but Richard can give you the number.
Gary Mobley - Benchmark: Okay, I have a couple of follow-up questions if you don't mind.
Richard White: It was down about 4%.
Gary Mobley - Benchmark: Okay. Very good. Thank you for that comment, Lu.
Richard White: Similar as the whole business, right?
Dr. Keh-Shew Lu: Yeah.
Gary Mobley - Benchmark: Okay. And thinking about your gross margins, its understandable why your gross margin decreased 220 basis points sequentially in the fourth quarter and I know you had lower loadings because you're trying to burn off some inventory and on top of that you had lower sales. But I'm assuming that you're going to be operating with a higher load in the first quarter anticipation of a seasonal uptick in Q2 revenue, still why is the gross margin in the first quarter not expected to be up, more in the sequential basis, will that benefit, that I just mentioned show up in the second quarter?
Dr. Keh-Shew Lu: Okay. Gary, let me answer this question, I think you if you remember the last quarter when we did the conference call, we mentioned the 4Q revenue, I mean GP, going to be down because we reduced the wafer fab loadings to 9 the 4Q and the 1Q business. Then after that we see the 1Q is not as bad as it was expected because typically we have been talking about 1Q is 0 to 5% and now we give the guidance of midpoint it's down 1%, so you can see we started realize 1Q revenue is not as bad as we expected therefore we turn on more wafer output in the wafer fab. And that's the reason we give the upgraded guidance of increase our TPM per fab. Then you're talking about 1Q, 1Q is more in the backend because our backend is all in China and the Chinese New Year is a big factor. Chinese year [down] and people when down, people take long vacation is always every year, always affect our performance or output in the backend. So similar sense, this year Chinese New Year come and we have people take long vacation, reduced people, the output is lower during 4Q and therefore you get hit by the lower output and that's why the GP went down. So when you wafer fab loading went up, or go up in 1Q, your backend loading went down or goes down in 1Q and that's why we forecast the GP percent is spread because wafer fab loading went -- go up but backend loading go down.
Gary Mobley - Benchmark: Okay. I was just reviewing some notes and I know that your goal, as you state in the press release that achieve $1 billion in annual revenue. And it's my understanding that your goal to achieve a 35% gross margin perhaps at a revenue level, happened in these and has about 85% utilization that your BCD fabs one and two and I was hoping to get a gauge global stand now with the utilization rate at those two fabs and where you might expect to be by the end of the fiscal year?
Dr. Keh-Shew Lu: Yes, that's our goal, $1 billion revenue with total GPM percent which [recently] up 35% but if you look at the loadings today and Richard can give you the number.
Richard White: Yeah, so in the first quarter of the S-Fab 1 which is the older fab in Shanghai was between 75% and 80%. It had a shutdown for maintenance and we had planned that in and that's part of the reduction that Keh-Shew talked about. And then in the first quarter, we think it's going to get back into the more normal range of 80% to 85%.
Dr. Keh-Shew Lu: That's for Fab 1, right?
Richard White: Yeah, S-Fab 1.
Dr. Keh-Shew Lu: Yeah, in the Fab 2 is --
Richard White: Fab 2 is just continually going up, it doesn't have a utilization because the output has just continued to go up from when it started in the first quarter of '13 up until through the fourth quarter.
Gary Mobley - Benchmark: Okay.
Dr. Keh-Shew Lu: This is the one talking about we transfer the loadings from Fab 1 to Fab 2 and then back fill Fab 1 we try to move sales, we try to get more sales on Fab 1 we are not really able to transfer any internal -- any (inaudible) fab from externally to internally yet. Okay, because we that is this customer approval. Now for the non-customer approval portion we can we start loading it, but the customer approval portion we cannot move in.
Gary Mobley - Benchmark: Okay, well I've taken enough time up, I appreciate the answers. Thanks, guys.
Operator: Thank you, sir. Our first question of queue will come from the line of Christopher Longiaru with Sidoti & Company. Please go ahead, your line is open.
Christopher Longiaru - Sidoti & Company: Thank you for taking my question.
Dr. Keh-Shew Lu: Yeah, please.
Christopher Longiaru - Sidoti & Company: What it sounds like here though, as your utilization at S-Fab 1 is going up, your outputs continue to grow at Fab 2 part of the reason for I guess where the marriage between BCD and Diodes made sense was that your packaging facility was underutilized and you talked about gross margin improvements over the course of the year, can you tell us a little bit how your -- how that move of BCD into Diodes manufacturing -- packaging facility is going and how you expect that progression over the course of the year to continue?
Dr. Keh-Shew Lu: Okay. From the packaging move from of BCD product to diode internally I think by end of fourth quarter we already qualified for whatever we want to move and there may be say a couple of the key customers but you know, in BCD they have more in the small customer they do with many of the key customers. So I should say most of the (inaudible). Now we start to ramp in the 4Q. At 1Q because the capacity, people capacity is not a common capacity, limitations we cannot really move everything and the reason like I mentioned is the Chinese New Year and a lot of people go home and not coming back yet, so that 1Q capacity is really did by people not did by the company…
Christopher Longiaru - Sidoti & Company: Okay. It sounds like to me then that you have situations where your utilizations improving sequentially, you are ready to move things in house but the Chinese New Year is kind of inhibiting that move and ex the Chinese New Year you probably would have guided that gross margin up, slightly sequentially and…
Dr. Keh-Shew Lu: 2Q.
Christopher Longiaru - Sidoti & Company: Does that make sense?
Dr. Keh-Shew Lu: Yeah. In the 2Q, it is a business is, yeah, we don’t know yet, right, we have not guided anything.
Christopher Longiaru - Sidoti & Company: Okay.
Dr. Keh-Shew Lu: Yeah. But there is the business growing up, the earning go up and obviously, it will if you look at our history, second quarter always stronger than 1Q. 1Q wafer fab is still underloaded, its not fully loaded yet, but assembly a company wise, its still didn’t -- it’s still no fully loaded, but people wise, it fully utilize. But and I then go to 4Q, we have capacity to support upside, a coming capacity to support upside.
Christopher Longiaru - Sidoti & Company: And just did you give a book to bill at the end of the fourth quarter?
Rick White: No. We didn’t.
Mark King: We did but it was above 1.
Christopher Longiaru - Sidoti & Company: Above 1. All right. Great. I will jump back guys. Thank you.
Operator: Thank you, sir. Our next phone question will come from Vernon Essi with Needham & Company. Please go ahead. Your line is now open.
Vernon Essi - Needham & Company: Thank you and congratulations on the quarter Dr. Lu.
Dr. Keh-Shew Lu: Thank you.
Vernon Essi - Needham & Company: I was just wondering just and that’s, I guess, we asked this gross margin question over and over, but I am more concerned, I guess, about the longer term fixture gross margin and why don’t you just address, I see the story of course has been a utilization based story in my view the higher your topline is going to be the better your gross margins going to be? One thing I am wondering though and I guess, is just listening to Mark go on about all the different products that you are introducing. A lot of those would be sort of in the 40% gross margin plus bucket, wondering how much mix could possibly impact your gross margin in 2014 or is the revenue contribution of these products still nominal that this is really more an 18 months to two-year out sort of situation where mix might be a bigger factor?
Dr. Keh-Shew Lu: Okay. First, let me answer the capacity issue and that our margin is significant affected by wafer fab loading by assembly loading, if you remember that in our third quarter we actually TPM up to 31%...
Rick White: 31% in the third quarter.
Dr. Keh-Shew Lu: 31% in third quarter and that really still have the BCD loading issues. Okay, and so, if you are taking that in the third quarter we are up to 31%. We go down to 28.8% because wafer fab loading we cut it down intentionally and then this quarter we got into 28.8% is because the Chinese New Year again. So move forward those factors should be improve because Chinese New Year has gone, loading should be continue because of business is and I put a big IF, if the market cooperate and the business go up, our loading will go up and at the same time, BCD fab loading will be improve then the gross margin. If we go back to third quarter then third quarter last year 31%, you should be able to, I am not give you any guidance yet, but I’m just like, guide that you know, if our revenue go back to third quarter revenue then shipping should be better than that because the loading factor should be improve, okay. Now from mix, I think, I let Mark to answer that but...
Mark King: So we have a significant amount of new product with a definitely a better margin profile than some of our historic product, so we obviously beyond utilization, we are working on our margin through mix improvements and new products and just better stuff that will draw higher ASP, it will drive a greater margin. So we feel like we have a lot of different drivers of our margin going forward, the timing of those quarter in and quarter out has not necessarily clear yet, but I think we have a lot of opportunity ahead of us.
Dr. Keh-Shew Lu: In addition don’t forget we have been reduced our CapEx, okay. And last year, we are in the -- we dropped 4% to 5% from our historically 10% to 12% of the revenue, last year we go down to and we stated guidance 5% to 8% or 9%...
Rick White: 8% to 9%.
Dr. Keh-Shew Lu: Yeah. Of our revenue, so when you started to reduce CapEx your depreciation going to be relatively -- as a percent of revenue going to be reduced then automatically you will improve your TPM percent, okay. So if we started changing our, when we started changing our (inaudible) from 10% to 12% of CapEx to 5% to 8% or 5% to 9% of CapEx, that CapEx reduction will automatically improve the depreciation as a percent of revenue and then it will improve the TPM percentage, so these are the facts. I think we are looking very high towards our moto of 35% and I believe we should be able to get there.
Vernon Essi - Needham & Company: Okay. I appreciate by the way the answer, I see the math, I am not doubting that you can’t get there especially on the revenue targets you have outlined and I think the math works for gross margin first quarter? This is kind of my delicate way of may be providing feedback and might be helpful for us to know what proportion of revenue is sort of new product related and how you want to define that however just a sort of we can track the progress of that in the revenue mix to see if its actually impacting gross margin or if it’s still just basically a function of loading from topline versus overhead.
Mark King: Yeah. We used to report our new product renew but then we determine that some of, each one of the product had a different period to ramp and then some of our products that were -- would like the revenues ramping very high, took three years to ramp and then they ramp and they are still ramping, okay. So we kind of process that until you became a little bit distorted. So we stopped reporting that. But we have a significant new product and the one other area that with a reduced CapEx, I mean reduce CapEx and reduce units drives mix, okay. So we've been pretty free with units for a few years here now and the units probably are going to start to get tighter and tighter as the year goes on, if the markets grows at even a reasonable rate. So I mean, we're hoping that the change in their strength in our CapEx will help us drive a better mix which will drive a better margin rate.
Dr. Keh-Shew Lu: Well in the past, when we had excess of capacity than you try to say, well I need to move the mix downward to capture those capacity to yield those kind of capacity. And since last year, well they make a decision, I don't want to chase the body anymore because at the end, we are reaching our goal of $1 billion. So we don't need to substation the capacity. That's why we changed the office’s model and which does then you don't have not much of capacity and then you had no need to changing the mix into load in the factory.
Vernon Essi - Needham & Company: Okay. And I just -- appreciate there is a longest first question I think I've ever had. I appreciate all the answers. Then my quick follow-on just -- actually any outlook you have on the healthy electronics market in China, you have probably one of the better crystal balls than anyone that we usually speak to. So what’s your take on how the outlook is there going into the first half of 2014?
Dr. Keh-Shew Lu: If you see our guidance of mid-point minus 1% against traditionally 1Q is down, 0 to 5% that's what I think everytime when I talk to you guys, I always say 1Q is down 0% to 5% or sometime even more, right. But with that, you can see I feel very good. And so right now, the feedback I get it from the Chinese post Chinese New Year is quite positive and that's why we guidance that. So I think that is my answer.
Vernon Essi - Needham & Company: Okay, great to hear. Thank you.
Dr. Keh-Shew Lu: Okay. Thank you.
Operator: Thank you, sir. Our next phone question will come from Harsh Kumar with Stephens. Please go ahead. Your line is open.
Harsh Kumar - Stephens: Hey Dr. Lu, Mark and Rick, congratulations very good quarter, very good guidance. I had a couple of -- first of all, let me ask the easy one, could you, Mark, could you repeat the breakdown of revenues by the end markets?
Mark King: Yeah. 34 consumer, 23 communication, computing 22, industrial 18, automotive 3.
Harsh Kumar - Stephens: Thanks so much. And then Dr. Lu, I had a pretty simple question. I think in your press release you mentioned that BCD was negative for you for the whole year. Are you willing to talk about maybe exiting the fourth quarter or maybe currently if it’s starting to turn for you, if it's positive how much positive impact, any kind of color you want to give us?
Dr. Keh-Shew Lu: I don't think it’s a positive yet in 1Q, okay. But it’s getting closed to helping us and it’s just the reason I think is 4Q is ramping in Fab 1. Because of that Fab 1 is underloaded. We have gradually filled Fab 1. But -- when we are able to get Fab 1 back to the original volume and Fab 2 is there then I think it will be positive.
Harsh Kumar - Stephens: Okay.
Dr. Keh-Shew Lu: They are still negative impact on us.
Rick White: It's negative on the margin.
Dr. Keh-Shew Lu: Yeah.
Rick White: On the gross profit percent, all right.
Dr. Keh-Shew Lu: Yeah, yeah.
Rick White: Not on the dollars.
Dr. Keh-Shew Lu: Yeah, yeah.
Mark King: Yes.
Rick White: So there gross profit margins are less than Diodes.
Harsh Kumar - Stephens: No, understood, totally understood. Thanks for clarifying that. Dr., another question for you. You bough Anachip a while back six or seven years ago. You bough BCD recently. If I was to ask you of your total business, how much of your total business is analog today. Would you have a ballpark number for us?
Dr. Keh-Shew Lu: Well, probably, we don't talk but I can give you maybe 60-40 because discrete grow and so it’s probably somewhere above 60-40, right.
Harsh Kumar - Stephens: So 60% discrete and 40% analog?
Dr. Keh-Shew Lu: Somewhere around there.
Harsh Kumar - Stephens: Okay.
Dr. Keh-Shew Lu: I don't hit the number. I give you, it’s a ballpark, okay. So don't peck me.
Harsh Kumar - Stephens: No, I understood. And then analog typically has better margin structure, correct. I mean my typically my understanding is analog for you 30 to 40, 45, is that accurate?
Mark King: I would say that's it's too much to generalize that. We have some really strong discrete products that run as good or better margins. We might have some products in the discrete side that might be more draining in margin that we will eventually mix out of. But I wouldn't say analog is always better.
Harsh Kumar - Stephens: Okay. And then one more for you, Dr. Lu. You talked about solid pipeline both in your commentary and the press release particularly design wins. I'm curious what are the areas maybe you are the most excited about for the next 12 months out of your end markets?
Dr. Keh-Shew Lu: Well, I think we have favorable area, for example, LED driver, AC to DC and when you talk about AC to DC we are working on the fixed charger. We are working on one charger, those with analog portion, okay. But then when will you talk about the digital portion, most fabs are still growing quite well. If we ask, you growing quite well and those is, again from discrete point of view, they are -- they are growing quite well. So you can remember, I just mentioned, buy Anachip, buy BCD. Those were analog product, but today we still have not. When I say 60-40, it maybe somewhere 30-70 around that range, okay. 70-30, 60-40 somewhere in that range. So you can see discrete, mainly could still grow very fast.
Harsh Kumar - Stephens: Got it, got it. And then my last question for you was, why the decision to pay down debt just bodes to the balance sheet or was there any particular reason?
Rick White: Well, the main reason is that interest expense impacts are earnings per share and we like to have the best earnings per share we can have.
Keh-Shew Lu: So, for all the money (inaudible) and money put in bank will continue to get interest, but the money we borrow save our interest cost and so its bad debt just paid off.
Harsh Kumar - Stephens: That’s fair. Thanks guys. I will jump back in the queue. Congratulations again.
Keh-Shew Lu: Thank you.
Operator: Thank you, sir. Our next phone question will come from Vijay Rakesh with Sterne Agee. Please go ahead. Your line is open.
Vijay Rakesh - Sterne Agee: Hi, guys. Good job with the gross margins. I have a question just going back to one of the previous questions, do you have an idea of what, could you give us last six months what percent of revenues came from new products and actually look, let’s say end of 2014, what percent of revenues come from new products based on the design wins, so a kind of a longer term perspective on that. And also you talked about handset design winds wins in your prepared remarks, if you could give some more color on that?
Rick White: What was the last thing, more color on what?
Vijay Rakesh - Sterne Agee: On the handset design wins that you had talked about in the prepared remarks.
Rick White: Okay. From a smartphone and tablet perspective, I think we just continue to make progress at multiple players around the world in a broad mix of devices. Not too much more to say about that, so I didn’t get your first question either.
Vijay Rakesh - Sterne Agee: I’m just wondering if you look at the new products ramps, if you look at and just wondering how much revenues came from new products ramps from the last six months and how much do you think of some new product ramps in, let’s say second half of 2014?
Rick White: I really don’t have those information. Clearly that some of our discrete new product ramp faster than our analog new product ramps, but the figures started to become distorted and ramp times and times for products to actually develop from a revenue perspective. So we kind of just stop looking at that as a whole a while back. We do look at it individually as a percentage on certain product lines, but we don't really look at it as a whole.
Keh-Shew Lu: The some of the discrete, especially in discrete area is kind of the customers there. I need you put these assumption, this style or this SBR or this more spread in this package. When the customer pay you that, you put the old die in the old package but it’s different die, different package, then you consider as a new product and you ramp it right away. For the analog, it’s very difficult because in analog you can do that, right. So you design the device and the die and then you put in this packaging you wanted, you get it out a suspender product. Then the ramp is very slow. And also for us tracking new product revenue or new product ramps is very difficult, especially discrete. Most of the discrete product considered -- each year, it could be consider as a new product and you say it’s differently.
Vijay Rakesh - Sterne Agee: Okay. On the OpEx line, Rich, you mentioned somewhat $900,000 increase in retention. If you look at the core OpEx excess retention bonuses, do you see that flat in dollars for 2014? And on the retention side, do you think this thing rolls off in 3Q this year, you anniversary it or how does that -- can you talk about it and explain this?
Keh-Shew Lu: Let me give you the state then he can give you the number, okay. The state is a lot of them is due to BCD. BCD retention started with much last year and 18 months. So it someway around 3Q in a year, but some of the people as they join a high-level people, the retention bonus is for two years.
Vijay Rakesh - Sterne Agee: Okay.
Keh-Shew Lu: Then it will be until 1Q next year. Okay, then you can explain this. Go ahead sorry.
Rick White: Yeah. Go ahead. Brian, tell me -- what ask the number of question again?
Vijay Rakesh – Sterne Agee: Yeah. If you exclude retention bonuses as the core OpEx, do you think that space flat in dollar for 2014?
Rick White: No, I don’t think so, because what’s going to happen is that the revenue is going to increase. We going to try and grow faster than the market. So, yes, it's flat in the first quarter but as the revenue goes up, we’ll spend more on R&D. We’ll probably spend more on freight and SG&A. So it won’t stay flat in dollar terms, right.
Keh-Shew Lu: Yeah, if you would look at our richest model always, when revenue grow, our R&D will grow as a percent. Spending after the revenue grow, our SG&A will only allow to grow half of the revenue grow. And so, as our rule of thumb and we’re going to -- insist to that. But the key thing is we won’t get our R&D and SG&A as seller revenue go down to 20%. So, we’ll quickly get into 20% then we go to our richest model.
Vijay Rakesh - Sterne Agee: Got it. Thanks. One last question here and I’ll get off the line. When you look at the tax rate obviously it jumped-up, what was 2013? It came up a little bit obviously you have guided to that. But what are the puts and takes rate, what makes it go out and it will bring it down as you look at this year, next year? Thanks.
Rick White: Well, we’re not saying that it’s going to go down. It’s going to go up. It’s just basically the split of profit in the various corporate entities. And so you say, okay, well the Taiwanese and the Hong Kong people have lower tax rates. But there's also income over there called Subpart F income, which is taxed at the U.S. rate. So, all of that comes into play in the effective tax rate for the year. So if you take out all the adjustments, we had, the tax audit adjustment in the first quarter and goodwill and the reason I would say goodwill out is the goodwill is a non-tax deductible expense in the U.S. So I think, our tax rate was -- for the year was 20.6%, right. So it was kind of right where we said it was going to be in the 18% to 24% for the year. And next year we said it’s going to go 19% to 25%, so it's only up 1%.
Vijay Rakesh - Sterne Agee: Okay, great. Thanks.
Operator: Thank you and our next question in queue comes from Lena Zhang with Blaylock Robert Van. Please go ahead. Your line is open.
Lena Zhang- Blaylock Robert Van: Hi. Thank you for taking my question and congratulations on overall quarterly results. I have a little bit concern about your computing business. Given why Japanese players is exiting the market and some of your peers in Asia drive gains and your revenue seems like a down 10% quarter-over-quarter. Would you please explain to me some dynamics within your computing businesses?
Mark King: I don’t know what’s 10%?
Rick White: I think she is measuring our revenue. We think we’re tracking relative to everyone else. We have some strategies long-term for our computing mix -- for our computing segment that will completely change our mix within that segment. So we feel we’ll interact to improve our position in that marketplace. But we don't feel that we’re suffering more than the marketplace over time. I think we know the market pretty well. We’re not as PC-based as we are notebook based. But we manage the units and our share in the units. It maybe possibly we lost some share on really low-end products in the second half of the year by choice rather than by this but we think we’re tracking in our major areas.
Lena Zhang- Blaylock Robert Van: Thank you. That’s all I have.
Dr. Keh-Shew Lu: Okay.
Operator: Thank you. And at this time, I'm showing no additional questions in the phone queue. I’d like to turn the program over back to Dr. Lu for any additional closing remarks.
Dr. Keh-Shew Lu: Thank you for your participation today. Operator, you may now disconnect.
Operator: Thank you sir and thank you ladies and gentlemen. Again this does conclude today's call. Thank you for your participation and have a wonderful day. Attendees you may now all disconnect.